Operator: Good morning. My name is Christine, and I will be your conference operator today. At this time, I would like to welcome everyone to the Quarterly Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session [Operator Instructions]. Thank you. Mr. Jurkoshek, you may begin.
Jack Jurkoshek - Director of Investor Relations: Good morning, everybody, this is Jack. I'd would like to thank you for joining us on our 2007 fourth quarter earnings conference call. And I'd like to particularly welcome those of you, who maybe participating in the webcast of this event. Joining me this morning is; Jay Collins our President, and Chief Executive Officer, who will be leading the call. Marvin Migura, our Chief Financial Officer; and Bob Mingoia our Treasurer. Just as a reminder, remarks we make during the course of this call regarding our business strategy, plans for future operations, and industry conditions are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. And I am now going to turn the call over to Jay.
T. Jay Collins - President and Chief Executive Officer: Good morning, and thanks for joining the call. It's a pleasure to be here with you today. We had a remarkable 2007. For the fourth consecutive year, we achieved record annual earnings 45% of above those for 2006 and 36% growth in revenue. This was driven by our strategic focus on providing services and products to support deepwater and subsea completion activity. Additionally, we benefited from performing more hurricane damage project to replace the new saturation diving system in the service and charted two vessels and a barge to augment by existing vessel fleet. Our EPS guidance range for 2008 of $3.50 to $3.80 for 2008 remains a same as our last earnings call. Our first quarter 2008 EPS guidance range is $0.65 to $0.75. This is consistent with our historical quarterly earnings percentage distribution and the fact that our first quarter earnings are usually lower than the fourth quarter of the previous year. We discuss these facts on our last calls. But it seems that, not everyone heard us, as in our opinion certain publish first quarter estimates are not realistic in light of historical seasonality of our business activities. I'd like to again remind everyone that over the past six years, we've reported less than half of our annual EPS in the first half of the year with an average of 45%, and we don't see any reason to suspect that this year will be any different. We made some specific comments about comparison of '07 and '08 first quarter. The midpoint of our 2008 first quarter guidance is 17% better than what we reported for the same period last year. If we beat each quarter by 17% throughout '08, we'd be near the high-end of our range by Christmas. I'd also like to point out that this $0.60 reported in the first quarter of 2007 included a gain from the sale of one of our vessels. Some of you reduce this result by $0.04 per share. If you did that, our comparison of 2008 over 2007 for the first quarter will show an increase of 25% year-over-year. Let me move on to the quarterly review for the fourth quarter. Our record fourth quarter EPS of $0.81 was at the high-end of the guidance range, we gave last quarter. Earnings of 45 million were more than 50% better than the fourth quarter of 2006. Four of our six business operations contributed to this year-over-year improvement, led by an increase in profit contribution from subsea projects. Our ROV business had an all time high quarterly operating income performance as our average revenue per day-on-hire higher surpassed the $8,750 level, and we achieved over 16,600 days of service for our fleet. Compared to 2006, operating income increased 28%. During the quarter, we put in service seven vehicles and retired one older system. At year-end we had 210 vehicles in our fleet. Our fleet mix usage during December was 66% in drill support, and 34% in construction and field maintenance versus 7,129 mixes a year ago. Subsea products operating income improved 40% on higher sales of OIE specialty products and Multiflex umbilicals. The OI increase was across all product lines and attributable to increased demand in product line and geographic expansions. As stated in the press release, we did experience problems during the quarter at Multiflex, which cost a sequential quarterly decline in this segment's operating income margin performance. We believe these were anomalies and not indicative of our operational execution record. We continue to expect our products operating income margin to slightly improve year-over-year in 2008. Subsea projects operating income increased more than 150%. This was accomplished on the strength of additional work on hurricane damage projects. We also benefited from higher use of two of our multi service vessels on deepwater IRM work. Inspection operating income increased almost 60% as we increased sales at all geographic areas in which we operate. We performed more work on LNG processing plants and storage and receiving facilities, nuclear power stations, petrochemical plants, and offshore productions facilities. MOPS results were down mainly due to the decision to move the Ocean Pensador as noted press release and a decline in engineering project work. ADTECH operating income declined as a result of the completion of the large engineering project at the end of the third quarter 2007, which we mentioned on our last quarterly conference call. Looking back over the entire year, our 2007 annual earnings growth was broad based with four of our five oilfield service business activities setting profit records. The superb earnings performance was attributable to increased demand within our offshore oilfield service and product markets. Our business expansion strategy and the exceptional operational execution. The market environment we assessed that we were able to choose strong utilization of our assets at favorable prices. Our average ROV revenue per day-on-hire improved in 2007 to over $4,800, 16% more than 2006, I'm sorry $8,400 per day 16% more than 2006. We also increased our ROV days-on-hire 12% to about 63,000 days, as we increased our fleet size and utilization rate. Operating income rose by over $33 million or 30%. From the 33 million approximately 20 million was attributable to improvement in average pricing, and 13 million as a result of the increase in days-on-hire. Operating income margin was 27% equaling the record set last year. During the year, we grew our fleet size to 210 vehicles up from 186 at the beginning of the year. We added 31 new vehicles and disposed the seven older systems as it is our strategy to operate a modern world-class ROV fleet. About half of the new vehicles initially went to work in drill support service, and the others were used for construction and production maintenance and the growing number of deepwater field developments. At year-end, we estimate that we continue to be the largest ROV owner, the 35% of the industry's world-class vehicles over twice the size of the next largest ROV fleet. We remained a primary provider of ROV drill support services with an estimated market share of over 55% nearly three times that of the second largest supplier. By our count during the year, we also became the largest global provider of construction and fuel maintenance ROV services. We achieved this by increasing the number of vehicles we provide to construction contractors and subsea support vessel owners. During 2007 subsea products operating income increased over 70% on higher sales of OIE specialty products in Multiflex umbilical. Operating income margins increased to a record high of 18%. We improved OIE product pricing and manufacturing execution to our continuous improvement initiatives. We also benefited from increased throughput and the resolution of 2006 start-up problems at our U.S. umbilical plant. Our year-end subsea products backlog of $338 million declined slightly from $360 million at the end of 2006. As OIE backlog growth was offset by a decline in Multiflex backlog. This backlog position us less than we had anticipated as several Multiflex umbilical contracts we have been pursuing, and still expect to secure were delay. These jobs have neither been cancelled nor awarded to a competitor. We believe we will meet our expected 2008 umbilical manufacturing profit contribution. Given these slippages, we are now expecting a stronger second half of the year from Multiflex compared with the first half. Based on data form Quest Offshore, 2007 market demand from umbilicals was about 1,200 kilometers or 750 miles, plus latest market demand forecast for 2008 prepared earlier this week was 1,880 kilometers, a 55% increased over 2007. So our umbilical business seems to be... seems to definitely be in an improving sub-segment of the overall subsea hardware market. Subsea projects achieved record results on the strength of increased participation in hurricane damage projects. Operating income Improve over 55% as we benefited from placing a new saturation diving system in the service and chartering two vessels and a barge to augment our existing fleet. Our inspection operating income grew by over 15% due to increase demand in all geographic markets we serve, and our success in selling more value-added services, and improving pricing. I am now going to turn the call over to Marvin to discuss our annual unallocated expenses, cash flow, capital expenditures, and year-end balance sheet.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Thank you, Jay. Good morning, everybody. Unallocated expenses increased in 2007 due to higher incentive compensation plan expenses, and higher corporate overhead, and IT related cost to support the company's growth. To put this in perspective as a percentage of revenue or operating income, unallocated expenses were lower in 2007 than they were in 2006. Moving onto cash flow, if you add depreciation back to our net income, we generated a record $274 million in cash for the year, $69 million or 34% more than in 2006. If you choose to add depreciation back to our operating income, you get $383 million up 40% over 2006. Anyway you want to measure our 2007 record cash generation, you'll find a substantial increase over the last year's record result. During the year, we invested $234 million or 85% of our net income plus depreciation. Our capital investments included ROV fleet expansion and upgrades, facility expansions at our locations in Morgan City, Louisiana, Houston, Scotland, and Norway. The acquisition of Ifokus a Norwegian developer and manufacturer specialty subsea products particularly ROV tooling and vessel upgrades. These investments position Oceaneering for increased profitability in the years ahead. Our balance sheet remains in excellent condition. At year-end we had debt of $200 million and equity of $915 million. Our debt-to-cap percentage was 18%. Thank you, Jay, take it away.
T. Jay Collins - President and Chief Executive Officer: Thank you, Marvin. In summary we believe our record annual 2007 earnings performance and cash generation were outstanding. We achieved increased profit contributions from four of our oilfield business operations and set record in each of them. Our focus on providing services and products for deepwater and subsea completions positions us to participate in a major secular growth trend, currently underway in the oil field service industries. Looking forward we believe deepwater is one of the best frontiers for adding large hydrocarbon reserves with high production flow rates at relatively low finding and development costs. Specifics signs of the healthy deepwater market that will drive demand growth in 2008, and beyond for our services and products were evident at the end of 2007. About two-thirds of the deepwater field discoveries around the world were not yet in production. Over 95% of the existing 202 floating rigs in the world were under contract and over half of these are contracted through 2009. 74 floating rigs were scheduled to be added to the worldwide fleet through 2011, up from 45 a year ago. 53 had already secured term contract with an average length of over five years. As of today we have been paying 20 of the 21 ROV contracts awarded on the floating rigs under construction to provide 24 ROVs. 19 new rigs are scheduled to be delivered in 2008 according to the ODS-Petrodata. Our assessment is only 15 in fact will be placed in service this year. 13 of these are contracted to oil companies. The ROV awards on 12 of the 13 rigs have been made and we have won all of all of them to provide 15 ROVs. We are negotiating to obtain the remaining ROV, the remaining contracted ROV rig, ROV award. And we'll of course pursue the ROV contracts on the other two rigs, once they have secured work commitments with oil companies. According to an international ship broker, there are about a 103 [ph] subsea support vessels under construction, with anticipated delivery dates by the end of 2011. Of these we estimate that approximately 100 will require at least one ROV each. For the future market demand for field maintenance ROV services also looks very promising. Based on Quest Offshore's latest forecast, during the next five years subsea production tree orders are forecasted to be at least 515 per year. And annual demand for umbilicals is forecasted to approach 3,200 kilometers. These forecasts represent increases of approximately 35% and 110% respectively over the last five years, that's a doubling of the umbilical demand. With our existing assets we are well positioned to supply a wide range of the services and products required to support the growing deepwater exploration, development, and production efforts of our customers. Furthermore we plan on making additional organic growth and acquisition investments to expand our ability to participate in this market. We were successful in reinvesting our 2007 cash flow and looking for opportunities to do the same in 2008. As Marvin previously mentioned at year-end our debt-to-capitalization was 18%, and we remain committed to using our resources to continue to grow the company. We believe Oceaneering's business prospects over the next several years are excellent. Looking at 2008, we are again forecasting record earnings for the upcoming year. We expect our net income to result in EPS of $3.50 to $3.80, on an estimated average of 56.5 million shares outstanding. This remains consistent with the guidelines we gave last November. We continue to anticipate this growth in earnings to be led by operating income improvement from subsea products and ROVs. The big picture of the annual 2008 versus 2007 changes we envision can be recapped as follows. ROV operating income growth of 25 million to 35 million as we continue to generate more revenue per day-on-hire and grow our fleet. We expect to add approximately 30 vehicles in our fleet in 2008. Based on projected timing of new rig deliveries about 20 are anticipated to be added during the second half of the year. We've already secured contract commitments for over 20 of our anticipated 30 ROV additions. This reflects the growing market demand for ROV services and our status as a premier supplier. We expect to put about 20 of our 2008 vehicle additions into drill support service. For subsea products we expect operating income growth of $30 million to $40 million as we exploit continued demand for growth for our specialty subsea product offerings, and increased throughput and improved efficiency there in umbilical manufacturing facilities. We are forecasting a 20% to 25% increase in revenue with a slight improvement in operating margin. Subsea project operating income is expected to decline $25 million to $30 million. During '08 we proceed decreasing demand for our shallow water vessel and diving services as hurricane demand projects near completion. Additionally, four of our six company-owned vessels including all three of our deepwater boats, will be temporarily out of service during the year undergoing mandatory regulatory drydock inspections. While undergoing inspections we will not only be incurring expenses on these vessels, but we will lose the opportunity to profit from their use. Our inspection business is likely to show improvement due to a continuation of broad based increase in demand for our services and higher pricing. Our MOPS segment profit contribution is expected to decrease due to the absence of the production barge San Jacinto and a lower day rate for the Ocean Legend. Equity income from the Medusa Spar is also expected to decline as annual production throughput will likely decrease. ADTECH operating income will be down due to the completion of the engineering service contract I mentioned earlier. Our SG&A expenses will increase as we continue to grow the company. We expect SG&A to grow approximately 15% about the same as our overall revenue growth. Depreciation and amortization is expected to be $20 million to $25 million higher, we anticipate our tax rate to be about 35%. Now I have just given you a lot of detail and as the year develop, there will be a lot of moving pieces. In summary, we are expected to achieve continued growth and financial results in 2008, and record annual earnings for the fifth consecutive year. This is primarily attributable to the secular demand growth occurring for services and products to support deepwater and subsea completion activity, which we anticipate will last for several more years. At present, we anticipate spending about $150 million in capital expenditures in 2008. This estimated expenditure consist mainly of additional ROV fleet growth, completion of our capital projects and process at the end of 2007, and about 30 million of maintenance CapEx. Above and beyond this expected level of capital expenditures, we expect to continue to invest and internally generated growth initiatives, and pursue accretive acquisitions. To the extent, we do not find suitable investment opportunities, we intend to pay down debt. Consideration will also be given to share buyback in the open market. Looking at the first quarter 2008, we are projecting EPS at the range of $0.65 to $0.75. This is better than the first quarter of last year, as we mentioned earlier, this we expect high profit contribution from our ROV and subsea product segments. We expect the quarterly profit contribution from our ROV business to be higher due to an increase in days-on-hire as a result of the largest fleet and improved pricing. We expect subsea products operating income to increase from this sale... higher sales of OIE specialty products. Compared to the fourth quarter, we're expecting a decline in EPS largely due to a drop in subsea project operating income. I'd like to remind everybody that the first quarter is the slow period for the year in the Gulf of Mexico for deepwater installation and IRM projects and shallow water diving services. Consequently, we're anticipating 30% decline in vessel days-on-hire and reduced utilization of our saturation diving systems. Also during the quarter we will be incurring expenses on the performer in Ocean Project while they are in drydock undergoing regulatory inspections. In summary, our record results continue to demonstrate our ability to generate excellent earnings and cash flow. We believe our business strategy is working well over both the short-term and long-term. Our technology gives us operating leverage to take advantage of the high level of deepwater and subsea completion activity currently underway. The market outlook for our deepwater and subsea service and product offerings is excellent. We continue to believe we are in one of the sweet spots of this up cycle. 2007 was our best year ever, and with escalating demand for our ROVs and subsea products we are projecting a fifth consecutive record year in 2008. We appreciate every one's interest in Oceaneering, and we'd be happy to take your questions. Question And Answer
Operator: [Operator Instructions] and your first question comes from Neil Dingmann. [Dahlman Rose]
Neil Dingmann - Dahlman Rose: Good morning, guys nice quarter.
T. Jay Collins - President and Chief Executive Officer: Thank you.
Neil Dingmann - Dahlman Rose: Jay, I was wondering are you seeing some of the delays that some of the epic players are seen in specially if you look at west, I know what are your readings are quite the same, but if you look for what you are during in the Southeast Asia or West Africa or some of the deeper areas. Are you seeing some of the delays in potential project for in business for you that some of those epic players are seeing?
T. Jay Collins - President and Chief Executive Officer: Well I think we certainly are seeing that delay, and I noticed that when I see some of the... even the tree orders that have been awarded, I don't see the umbilical orders being awarded yet. I might just mention as I look back over the Multiflex backlog that we... that we... when I looked at last quarter's call and looked at the backlog that we projected at that point in time. I reviewed our backlog and saw a $150 million of likely umbilical orders. We thought we will close about two-thirds of these by year-end. In reality we only got one-third. The balance of these jobs haven't been cancelled, they haven't then awarded to any competitor. So when I review the outlook for umbilical recently, I still looking at the $100 million of this same potential work, and we believe this work will be awarded in the first and second quarter. So I would say we certainly are seeing slippage not only a big projects, but seems the tree orders were coming out more in front of the umbilical orders than perhaps they used to.
Neil Dingmann - Dahlman Rose: Sure, sure. And then just one follow-up question. You know, it's always tough for us analysts to sort of quantify your pricing, I guess is it fair to say the capacity in a number of regions especially around the ROV or maybe around the subsea projects business is still tight enough that you are able to continue to push pricing as these new projects come out?
T. Jay Collins - President and Chief Executive Officer: I think certainly on the ROV side, it's still a very tight market, and we... while not easy we are dealing from very tough customers. We have been able to see maintain our margins past price increases along and as you know, to maintain margins you have to price along... even push along even more than the price increases. So fully in that business we've been able to do that on our specialty subsea areas. We've been able to push some pricing forward. The Multiflex... I think the umbilical market remains a competitive market.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: And projects I think the vessel market is not as tight as it was, as hurricane projects wrap up, we talked about expecting a decrease in the demand for shallow water vessels and diving, and so I would say that we've enjoyed a very good period of time for the Gulf of Mexico vessels and diving assets and I don't think it's going to be that type of year in 2008.
T. Jay Collins - President and Chief Executive Officer: Thank you, Marvin. Next question?
Neil Dingmann - Dahlman Rose: Good point Marvin. All right guys keep up the good work.
T. Jay Collins - President and Chief Executive Officer: Thank you.
Operator: Your next question comes from Scott Gill. [Simmons and Company]
T. Jay Collins - President and Chief Executive Officer: Good morning, Scott.
Scott Gill - Simmons and Company: Hey, how are you doing?
T. Jay Collins - President and Chief Executive Officer: Fine, good morning.
Scott Gill - Simmons and Company: Good morning, just, Jay if you could give us a little more color on this project down in Brazil and along those lines if you could also talk about are there any projects like that in the backlog, that perhaps, there isn't any type of protection for cost escalation going forward?
T. Jay Collins - President and Chief Executive Officer: Sure, the... I appreciate your question and need for more information. However, I think we really disclosed about all the details that we will in the press release. It's unusual for a job to be awarded in 2005, and then not really happen in 2007. Also, that the UK job has been completed and delivered and that we believe we've made adequate accruals to reflect increased cost that will occur in Brazil, there are some deliveries left in 2008, on that project. But, we think we are well accrued for that, and I'd like to reemphasize that we have some made a change orders to recover some of these extra costs, so I think that part is behind us.
Scott Gill - Simmons and Company: Okay. What about, anything else in the backlog that we should be concerned with, that, where this might repeat itself, or even as you take on future awards, do you have proper risk I guess provisions for cost escalations?
T. Jay Collins - President and Chief Executive Officer: We generally have very good positions for cost escalations. That's why we refer to this as an anomaly. And I think we have no other issues really to talk about at that point in time. We certainly have... always have jobs that don't come off as planned for a variety of reasons. So it's a bad job, it's not necessarily one-time occurrence. We just pointed these out this year because they had such a significant impact on one quarter of our business.
Scott Gill - Simmons and Company: Okay. Thank you.
T. Jay Collins - President and Chief Executive Officer: You bet.
Operator: Your next question comes from Kevin Pollard.
Kevin Pollard - J.P. Morgan: Thanks. Good morning.
T. Jay Collins - President and Chief Executive Officer: Good morning, Kevin.
Kevin Pollard - J.P. Morgan: My question was on your products guidance, your operating income of... I think it was $30 million to $40 million. It's a little higher than last quarter. I was wondering what accounts for the increased outlook in the products business?
T. Jay Collins - President and Chief Executive Officer: Kevin really it's very simple, our outlook didn't change at all. We just didn't require as well as we thought in the fourth quarter so the gap just increased a little bit.
Kevin Pollard - J.P. Morgan: So it's just a push forward or what you thought you are get in Q4?
T. Jay Collins - President and Chief Executive Officer: It really was just a difference between what we did, and I like planned that we really already thought...
T. Jay Collins - President and Chief Executive Officer: So really no difference there, I think we really are excited about the subsea products segment of our business. We had 73% growth in our earnings from '06 to '07, and our range gives us the 33% to 38% growth from '07 to '08. So we are very excited about this segment of our business.
Kevin Pollard - J.P. Morgan: Okay. And if I could switch over to the projects side real quick, yeah you give a fairly cautious outlook, I was wondering first of all as you plan to still work the Oceaneering invention three in the spot market where it finishes it contract for BP?
T. Jay Collins - President and Chief Executive Officer: Absolutely our original business here was going after that IRM market in the deepwater Gulf of Mexico, as you imagine everyday more equipment is being put on the ocean floor and we may either be part of putting there or going back and dealing with some sort of maintenance issue or checking on that equipment later on. So So that really was... that and some smaller installation jobs really are our primary business before the hurricane came. So we really weren't setting ourselves up for hurricane business in the first place. So that is really what we are going back to now the hurricane business is finishing up.
Kevin Pollard - J.P. Morgan: WellI guess kind of as we're going with the question. Based on your experience was a similar vessel Ocean Intervention II being extremely highly utilized and so I am wondering if there is a potential that vessels actually more profitable or at least as profitable as it was under the BP contract on potentially of that if all goes similar to what you'd experience with those Intervention II that you could actually maybe do better in the projects then your guidance currently assumes?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Kevin, I think I mean you make a good point, but let's just go ahead and look at the overall segment and seeing pluses and minuses throughout, including the softer shallow water market and the number of days that our boats are going to be drydocking and I think all those things have been factored in to our forecast, and then we are projecting a significant number of utilization days on our intervention vessels to the extent they are available. So I just I want to go ahead and respond that we are not really going to... you are absolutely right about the deepwater IRM market, and the OI III's opportunities, and like the OI II's, but we are looking at the overall segment, and seeing pluses and minuses throughout including the softer shallow water market, and the number of days that our boats are going to be in out of service because of regulatory inspection in drydocks.
T. Jay Collins - President and Chief Executive Officer: Yes. Marvin let me add to that of our expected decline in operating income that we talked about $25 million, $30 million of about $5 million of that is actual drydock expenses, and other $3.5 million is the evidence of the gain we realized last year on the sale of the ocean service, and the balance is split between lost profit opportunity while we are out of service and just a softer market. So hopefully that gives you some feel for it.
Kevin Pollard - J.P. Morgan: Yes. That's really helpful. I was just trying to understand all the different levers in that segment. And just last real quick housekeeping kind of question. Since you have I guess two of your four vessels in the drydock in Q4, would it be fair to assume that kind... what you just talked about the $5 million drydock expense plus the lost revenue, full half of that hits Q1?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Well, we're talking about having them in Q1.
T. Jay Collins - President and Chief Executive Officer: All the numbers that I just gave you are 2008 effect.
Kevin Pollard - J.P. Morgan: Right.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: And I thought, and I have to go back to Jay's opening remarks, but I think he said that in the first quarter we will have the performer in the Ocean Project
Kevin Pollard - J.P. Morgan: Right.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Out of service for regulatory inspection, not in Q4.
Kevin Pollard - J.P. Morgan: Right. Okay. That's what I mean in Q1. Sorry about that.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Sorry,okay.
Kevin Pollard - J.P. Morgan: Okay. That's all. Thanks guys.
T. Jay Collins - President and Chief Executive Officer: You bet.
Operator: Your next question comes from Joe Gibany. [Capital One Southcoast, Inc.]
Joseph Gibany - Capital One Southcoast, Inc.: Good morning, everybody.
T. Jay Collins - President and Chief Executive Officer: Good morning.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Good morning, Joe.
Joseph Gibany - Capital One Southcoast, Inc.: Marvin I just curious if you could give us... what has been the impact of the subsea products operating margin absent the anomaly that you recorded in the quarter?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: No, we're not going to go ahead and get into the specific quantification of these two jobs. I mean, I think you can... I thought the third quarter 21% record was a really good high water mark because of product mix, but and I think that the two jobs accounted for most of the drop in operating income margin percentage.
Joseph Gibany - Capital One Southcoast, Inc.: Okay, fair enough. Any color on the remanufacturing issue here in the UK versus a quality control issue, was there sort of customer change request, could you give any color at all?
T. Jay Collins - President and Chief Executive Officer: No, really more detail on our unusual occurrence and our process has been improved to prevent that from happening again, and I guess all I say about it.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: And the best news is you did mention the product has been shift and that problem is behind us.
T. Jay Collins - President and Chief Executive Officer: Absolutely.
Joseph Gibany - Capital One Southcoast, Inc.: Okay, fair enough. Jay could you help us a little bit with the seasonality within the inspection business obviously pretty well disseminated for the downtick here on subsea project side, but how should we think about inspection her in 1Q?
T. Jay Collins - President and Chief Executive Officer: Well there is definitely a seasonality this trends in the UK part of our business is very much oriented around the shutdowns, a big facilities like chemical plants or nuclear facilities, and these shutdowns tend to be summer activities. So, I think that's the primary seasonality of it... some of the offshore pipeline inspection work that we do tends to be related to the offshore construction sections seasons of the world, West Africa and the Gulf of Mexico. So I think those are the big seasonal factors out there.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: I do want to add just a little bit of color for anybody who has been following us for a long time we would remember that the first quarter for inspection was usually a loss quarter, and are barely breakeven quarter, and because of the increased value-added services that we provide now, you just don't even see that in it, and the seasonal work is I mean not as anywhere near as extreme as it used to be, but as Jay explain to me because if you're UK based and you know the weather there does have a significant impact.
T. Jay Collins - President and Chief Executive Officer: And offset to that is what we do in pipe yards that could be good in the first quarter getting ready for the lay operations in the summer.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Right.
T. Jay Collins - President and Chief Executive Officer: So lot of moving parts like quite of the business here.
Joseph Gibany - Capital One Southcoast, Inc.: I appreciate, just one last question I'll turn it back you guys detailed some of your manufacturing execution in the quarter. Obviously backlog burn rate was up, operations more product up the doors since curious comment a little bit on what some of those improvement initiatives have been or what you are doing to improve that throughput I appreciate it.
T. Jay Collins - President and Chief Executive Officer: Yes.We just... we are very committed to analyzing all of our business processes and getting people together in teams and looking at how we do work. Where the problems are where what causes rework and tracking these problems back and eliminating them and going to the next problem. So I don't have any one thing to tell you about rather than just kind of a relentless pursuit of solving problems and having people who do their work, work together to improve the way that we do it. So I think it's more of a philosophy and just a bunch of small things that add up to something at the end of the day or either the several multi year period rather than anyone thing that I can point to.
Joseph Gibany - Capital One Southcoast, Inc.: All right, fair enough. Thanks guys, I will turn it back.
T. Jay Collins - President and Chief Executive Officer: Okay.
Operator: Your next question comes from Joe Agular. [Johnson Rice and Company]
Joe Agular - Johnson Rice and Company: Good morning.
T. Jay Collins - President and Chief Executive Officer: Good morning, Joe.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Hi, Joe.
Joe Agular - Johnson Rice and Company: Hi. Thank you all very, very much for all the detailed information you gave me in your outlook for 2008. It is very helpful. And just on that note I guess on your product side Marvin if I am sort of doing the math correctly it seems like you are all the kind of implying margins of around low 20s 21% or so for products in '08. You don't have to comment on that if you don't want to but --
Marvin J. Migura - Senior Vice President and Chief Financial Officer: No we said a slight improvement.
T. Jay Collins - President and Chief Executive Officer: 18% of the year of '07 so.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Yes, if you just take the revenue growth at 20% to 25%, take that operating income improvement you did to the numbers and kind of I think it comes out to around 21% or so?
T. Jay Collins - President and Chief Executive Officer: I think, I mean that's... yes, we are going to let everybody do the math. You know, here is what we've done for the last couple of years, is, we give you the answer of what we think our model shows an operating income increases year-over-year, and this time we gave you the 20% to 25% revenue growth in product, so I mean you just--
Joe Agular - Johnson Rice and Company: Did the math.
T. Jay Collins - President and Chief Executive Officer: You really can't go too far off if you do the math.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: So, but, that's all the guidance we want to give.
Joe Agular - Johnson Rice and Company: I understand. I was just, I guess, trying to figure. It seems like it's fairly consistent with what happened in Q3, it doesn't really assume a whole lot of improvement in what you did in Q3, just kind of carrying that forward into '08?
T. Jay Collins - President and Chief Executive Officer: Well, I think what we really need to focus on, and we don't want to wear this part out but there is a lot of moving parts, but, as we increased umbilical throughput, we do influence the mix of margin percentages because OIE is about two-thirds of our business and their products and service and sale at a higher margin then what umbilicals do, primarily because of the steel tube content, which is such a high input cost. So as the growth of umbilicals occurs, and we expect it to, the margin mixes. And so, to maintain and slightly improve margin, we've got to count on a little bit better pricing, a little bit better execution, a little bit better contract protection, and all of those things have been factored into our guidance.
Joe Agular - Johnson Rice and Company: Okay. Real quick question on the drydock schedule. If you could remind me again, how long a vessel was in drydock typically for you guys depending on I guess whether it is the right inspection or whether it's some work done?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: That really covers a wide range. I think it could be a short of as --
Joe Agular - Johnson Rice and Company: Two weeks?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Maybe two weeks to a month and more extensive thing could be another two to three months.
Joe Agular - Johnson Rice and Company: Okay. And Jay, I guess one bigger picture question for you. The company over the years has I think often times described itself as a niche product in service company as this cycle is unfolding, deepwater drilling, and certainly infrastructure is becoming a lot more mainstream in the industry, and I just so I think through with the direction... with all this growth that you're getting in the rig count, the number of installations, all the products that go into it. If they are strategically some direction you think the company could go in that might fit in with where the industry is going, what that might mean in terms of either acquisitions of product or service assets. Again I am not looking for anything real specific. Just trying to understand where you think the company fits in today with the trends of the industry overall?
T. Jay Collins - President and Chief Executive Officer: Hey, Joe well I think our real focus as we've said is the deepwater and anything associated with deepwater, now you can see that we were definitely pushed the ROV business. we are very aggressive and trying to maintain a very large the ROV both drill support and construction market. And you see that our acquisitions have primarily been in the products, subsea products area and the link we see that as the target rich environment out there. What are the new things happening? What are the new requirements for subsea equipment and more technology and more complication of things on the ocean floor? We think that plays to our strength and so our challenge is to try to find those companies that will continue to grow in the subsea arena and add those to our Oceaneering fleet of product and services. So I think, it is sort of niche philosophy some of these companies aren't necessarily all that large or that niche may not be very large, but if it's serving a deepwater market, than it can have a good growth rate going forward. So I think that's our focus, you've seen it in the fourth quarter. Our product revenue slightly exceeded the ROV revenue. So we see a lot of opportunity in the deepwater product sector.
Joe Agular - Johnson Rice and Company: Okay, that was all I had. Thank you very much.
T. Jay Collins - President and Chief Executive Officer: For example, the ROV tooling company that we brought this year in Norway Ifokus and internal growth initiative of BOP controls I mean both of those fit, right in the middle of where our focus is.
Joe Agular - Johnson Rice and Company: Marvin...
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Yes.
Joe Agular - Johnson Rice and Company: If I could just ask you one different way maybe, one more time I guess the other thing, I was wondering is the oil companies have tended to contract with different companies for different pieces of all. There is puzzle here of deepwater, is there... I guess I am trying to figure out as an opportunity to become sort of more vertically integrated or more have broaden out the service line, where you might be more of the one-stop shop for some of these jobs that are out there?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Joe, I mean I can't really speculate much on the market. But, I don't see us becoming like an epic contractor, and first of all in the subsea development arena, it starts with the tree and we are not going that way, I mean we are not headed to be tree manufacture. And so if you don't have trees and you don't have rigs, it's pretty hard to be at one-stop shop.
T. Jay Collins - President and Chief Executive Officer: We really like being in, what we consider sort of the independent provider of product and services on the one hand to the construction companies, which in cases maybe a big epic contractors, and then in the other case to the equipment supplier, the three manufacturers that were offered, often capture the large equipment products groupings like a big West African products. So about the OEM players and the construction companies and our customers, so within that framework, we're happy to expand our scope and its early when you get down to smaller project $10 million, $15 million project, we can't be a one-stop shop. But, we really don't want to see that grow and compete with our customer base.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Okay.
Joe Agular - Johnson Rice and Company: That's very well put. Thank you so much.
Operator: Your next question comes from Waqar Syed. [Tristone Capital]
Waqar Syed - Tristone Capital: My question is on the fourth quarter earnings. If I exclude the $2.8 million charge for mobilization of Pensador and some of the operational issues on the product side, I am estimating that your earnings in the fourth quarter could have been in the $0.95 to $1 range is my math correct?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: You are seeing about 14%... $0.14 for those two, I think Waqar that would put you to do that, you must be assuming that products would have had about a 21% margin in the fourth quarter, had it not been for those two issues that we discussed.
Waqar Syed - Tristone Capital: Somewhere around that lines, maybe slightly lower than 21%?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Okay, well then I mean, that really is your numbers hands on that assumption, and I'm really not going to go into specifically, everybody knows the 2.8 has been identified and if I give you what the other EPS effect was and everybody kind of say oh, golly, that must have been an X number. So we're not going to back into that way either.
T. Jay Collins - President and Chief Executive Officer: We've already addressed that I think.
Waqar Syed - Tristone Capital: Okay. On the Pensador, what's the outlook there, where do you think... what do you think is likely to happen?
T. Jay Collins - President and Chief Executive Officer: We have no new information for you other than Singapore is a better palace for it to be. If we do find our project that's where the shipyards are, we ultimately don't find a project, and we sell it that would be a better place to make a sale from. So we continue to look for appropriate projects, for the vessels. So, we are looking and again if we don't find them, we could ultimately sell it. So I have news, I will give it to you but nothing specific to tell you.
Waqar Syed - Tristone Capital: It's a single haul tanker. So is the market likely to be, if it happens West Africa or and what would the investment... general investment range would be in lead-time, should you happen to get an FPSO contract?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Joe, I really cannot speculate much on the market, but --
T. Jay Collins - President and Chief Executive Officer: I would have to speculate on that I think certainly in FPSO project it takes 18 months from the date of signing before it actually went to work and probably north of $250 plus million. But, I would say, we are not certainly close to any kind of deal like that. But, I would say that sort of the industry deals are in West Africa that we have seen in the past.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: The news on the Ocean Pensador is that when we bought it, in the Pacific Northwest we knew there was no market there. And when we bought it, to compete for a specific FPSO contract, and we disclose that, and we didn't win that. So it was inevitable that we needed to move it closer to better position closer to the shipyards to better position it in the marketplace, as we disclosed in the press release. We don't want anybody to read any more into the Ocean Pensador move in that, the stacking cost outside of Singapore is much cheaper than they are in Oregon.
Waqar Syed - Tristone Capital: Sure.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Okay.
Waqar Syed - Tristone Capital: Thank you very much.
T. Jay Collins - President and Chief Executive Officer: You're welcome.
Operator: The next question comes from Jim Crandall. [ Lehman Brothers]
T. Jay Collins - President and Chief Executive Officer: Hey, Jim.
James Crandall - Lehman Brothers: Hey, good morning.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Good morning.
James Crandall - Lehman Brothers: Marvin, just one question. I apologize if this has been asked. But, why were unallocated expenses down 7 million quarter-to-quarter?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: That is a good question because our Oceaneering stock price drops from $75.80 at the end of September to $67.35 at the end of December.
James Crandall - Lehman Brothers: And that made up, all 7 million?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Very much so.
James Crandall - Lehman Brothers: Okay.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: So then, I mean, one of the things that I want to go on, as you know I will, then when will the variability of our restricted stock expense end. And I will say that the last portion of the restricted stock awards made in accordance with the 2002 plan vests in 2010. So, some of you have a long term perspective on Oceaneering stock, you know that management has a little bit longer-term plan because these were 2002 awards that fully vest and they have been vesting, but they finally vest at 2010. So our current mark-to-market accounting would end at that time, as no awards subsequent to those of 2002 require such accounting. In 2008, one half of the remaining unvested shares will vest, so the degree to which our unallocated expenses are tied to the quarterly fluctuations, our stock price continues to decline.
James Crandall - Lehman Brothers: Okay.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: I don't know if that helped or not, but I wanted to say it.
T. Jay Collins - President and Chief Executive Officer: Good for you Marvin.
James Crandall - Lehman Brothers: Jay, one for you. Jay, do you feel bad about finally losing in ROV contracts?
T. Jay Collins - President and Chief Executive Officer: I certainly do Jim and I have been talking to our people about not letting that happening.
James Crandall - Lehman Brothers: Good. I understand if you wouldn't want to comment on it, but when you lose a contract is it usually... does price come into it?
T. Jay Collins - President and Chief Executive Officer: I will say that there is always an element of... we generally are not going to be the lowest price, but usually its relationships and we have good competitors who do good jobs and if they are doing well for customer with a great relationship that gives them advantage perhaps. And so realistically of course we never expected to win all the work, but we've been having a great run and I have used the indication that this is competitive out there and this is not a lay down for us to win most of these jobs.
James Crandall - Lehman Brothers: Okay, great. Thank you very much.
T. Jay Collins - President and Chief Executive Officer: You bet.
Operator: Your next question comes from Victor March [ph].
Unidentified Analyst: Thank you. Good morning.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Good morning.
Unidentified Analyst: First question I was just on within OIE on a BOP control systems. I just wanted to see if you could talk on how that the recent contract, I think you guys announced back in September or so. How that has progressed and once if you can comment on taking a look at that business on a go forward basis as into the opportunities?
T. Jay Collins - President and Chief Executive Officer: I don't have any comments on the particular contract, but we're very pleased with the progress of the BOP business. We've secured I think four jobs and these are major jobs in the range of $10 million plus, four BOP systems, and we think with the rigs being ordered out there, that there is other opportunities for us, chance to put our system in the marketplace here later in '08 and let everybody have a look at it. We think it will be the best system on the market, in the market. So we were very encouraged by that business. We think its moving along nicely and so we're very pleased.
Unidentified Analyst: And the... just I have was on the shipping vessel want to see an update on the delivery of that vessel, and how marketing was going?
Marvin J. Migura - Senior Vice President and Chief Financial Officer: It's going to come in, early in the third quarter, as what is expected to be delivered now. And I think that's still very consistent with the... our earlier expectations when we announce the contract, and then remember we do have to mobilize it and outfit it with an ROV. So while we get the chart, the charter starts in the third quarter, there will be no profit contribution until the fourth quarter.
T. Jay Collins - President and Chief Executive Officer: And then it will work in our spot market in the Gulf of Mexico and our basically our IRM business. So we are not anticipating a long-term contract for that vessel, it will be to part of what we used to do our work everyday.
Unidentified Analyst: Okay. Okay. And last one I just had was just on people, I want to see how are the people issue was, is it still as tight as it has been over the last 12 months or has there been any slack in the systems particularly as it relates to the ROV business?
T. Jay Collins - President and Chief Executive Officer: I feel very good about what we accomplished in '07 in the ROV business with regard to personnel. We hired approximately... and trained approximately five people. We had identified and trained almost 100 supervisors to continue to grow that business, so I think we have good processes and training systems in place to do that. Obviously these people were hired all over the world in West Africa, in Asia, in South America, as well as the United States. So I think, we are meeting our demand for people, and we think we are on track with good processes to continue to do that through '08, '09. The market is tight. There are really not enough people for everybody, but we seem to be satisfying our need and think that it is expensive. We have seen our cost go up because of that to train, but we see the ability to train... to recruit and trained people in the ROV business to be a real strong competitive and strength of ours.
Unidentified Analyst: Great. That's all I had, I appreciate it.
T. Jay Collins - President and Chief Executive Officer: Okay.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Thanks.
Operator: [Operator Instructions].
T. Jay Collins - President and Chief Executive Officer: Okay. Well thank you very much, and we appreciate you to being part of our call.
Marvin J. Migura - Senior Vice President and Chief Financial Officer: Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.